Operator: Good morning. My name is Katherine and I will be your conference facilitator today. At this time I would like to welcome everyone to the Granite Construction Investor Relations’ Fourth Quarter 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise, and after the speakers’ remarks there will be a question-and-answer period. [Operator Instructions]. It is now my pleasure to turn the floor over to your host, Granite Construction’s Director of Investor Relations, Ron Botoff. Sir, the floor is yours.
Ron Botoff: Thank you, Katherine. Good morning. Welcome to the Granite Construction Incorporated fourth quarter 2014 earnings conference call. I’m here today with our President and CEO, Jim Roberts and our Senior Vice President and CFO, Laurel Krzeminski. We begin today with an overview of the company’s Safe Harbor language. Some of the discussions today may include forward-looking statements. Actual results could differ materially from the statements made today. So please refer to Granite’s most recent 10-K and 10-Q filings for a more complete description of risk factors that could affect these projections and assumptions. The company assumes no obligation to update forward-looking statements, whether as a result of new information, future events or otherwise. A reconciliation of non-GAAP results is included as part of our fourth quarter earnings press release. Certain non-GAAP measures may be discussed during the call and from time-to-time by the company’s executives. For more information please visit our Investor Relations website at investor.graniteconstruction.com. Thank you. Now I would like to turn the call over to Granite Construction Incorporated, Chief Executive Officer, Jim Roberts.
James H. Roberts : Thank you, Ron and good morning everyone. Before Laurel discusses our financial results and our initial 2015 outlook, today I begin by congratulating Granite teams from coast to coast, as 2014 was the safest year in our company’s history. This is a continuation of more than a decade long trend of safety improvement for Granite. We are far from finished. We continue to raise the bar in this area, always targeting an ultimate goal of zero injuries. It is this commitment that helped drive operational and financial improvement over the last 12 months. And it is this commitment that gives me confidence that operational efficiency and execution continue to gain momentum now in 2015. I also want to take just a moment to recognize Patrick Kenny, who will be retiring as Kenny Constructions Group Manager. Thank you, Patrick, for your four plus decade of service and leadership at Granite, at Kenny and in the construction industry. Last November I explained that fourth quarter results would be dependent on four factors. Project execution is the first item that we talked about last quarter. And we were pleased to see improved operating trend drive continued margin growth across the company. Excluding the impact of 2013’s restructuring charges, profit margin performance in the fourth quarter of 2014 translated into a net income increase of more than $14 million year-over-year, with 2014 annual net income improving more than $ 30 million as compared to last year. Maintaining momentum on improved project execution is a critical focus area for us as we work to execute our nearly $3 billion of backlog. Continuous improvement investment continues to drive change, uncovering opportunities and is now beginning to deliver results. Our emphasis on the process is helping us be better and more efficient in what we do every single day. The second key factor was large projects profit recognition and job progression. This remains a constant focus for us. As expected in the fourth quarter we recognized profit on the IH-35E project in Texas, phase II of the US 36 project in Colorado and the I-40/440 project in North Carolina. While the profit performance validates the expectations we have both at the beginning and end of the year job progression, particularly driven by award delays and weather was slower than anticipated overall in the quarter and in the year. Weather was the third factor I discussed. On the back of record drought and excellent construction conditions across California in most of 2014 the rain began within days of our November call. And instead of upside opportunity it created significant revenue headwind in the fourth quarter. This revenue and the related profits were not lost but instead now have been shifted to 2015. Weather to-date in 2015 across much of the west has been better than last year. However the extreme winter weather that has blanketed many of you in the Northeast, southeast and Midwest has impacted progress on some our work. While climate conditions certainly create through cost headwinds we are focused on recapturing as much of this missed opportunity as early as possible in 2015. The final fourth quarter results driver I talked about in November was our large amount of unresolved claims and changed orders. Importantly while we made progress in the fourth quarter in this area the majority of near term opportunities remain unresolved. We are working diligently to resolve the remainder of these significant outstanding issues as early as possible in 2015. We are ratcheting up our focus in this area to ensure Granite and its shareholders are properly paid for the work we are requested to perform. We will continue to focus on maximizing recovery on these projects. Among our larger list we had five large unresolved disputes entering the fourth quarter and we resolved one of these items in the fourth quarter. Our expectations for recovery on the remaining disputes have not changed. So despite the negative top and bottom line fourth quarter impact we are encouraged that this is a significant area of revenue and profit opportunity for the company in 2015. Before I transition to the topic of Federal Transportation funding I want to spend just a few minutes highlighting the overall market outlook and competitive environment across some of our businesses. I start with our Federal Division, where we welcome a solid industry veteran, Mathew Tyler to lead the team. We are pleased to add Matt’s broad understanding of federal customers and the strategies necessary to grow this area of our business. We are deeply committed to invest in and grow our work platform with the federal government. Improvement in the Construction Materials segment continued in the fourth quarter, but at a slower pace than we hoped, mostly driven by poor weather. Importantly our emphasis on efficiency and cost management coupled with pricing improvements was a key driver of improved segment performance in 2014. Improved efficiency and pricing also are expected to drive further margin improvement in 2015. But without the expected demand acceleration that could be driven by improved federal funding it will continue to take some time before we achieve targeted mid-teen margins in this area. Performance by our tunnel division improved significantly in 2014, helping to drive strong year-over-year profit gains in the large project construction segment. The teams executed well on both the Torono [ph] and Columbus Ohio projects driving improved top and bottom line results compared to last year. And the tunnel division remains an area of significant opportunity for us as 2014 bidding delays have added to the already healthy list of tunnel bidding opportunities in 2015. In Power the transmission and distribution market remains robust, as does the related civil and construction market in power. With December and January project wins totaling more than $30 million our power division has gotten off to a very strong start in 2015. [indiscernible] continues to be an important driver in this area. Strong execution of construction management and materials management projects with a growing loss [ph] to industry leading utility customers and construction partners is helping the power team to quickly build a national reputation. And we are keeping our foot on the pedal as we expect to bid on more than a $1 billion of transmission and distribution related projects in 2015. In terms of project award progress we had a couple of modest delays. We were about one quarter later than anticipated when we received our notice to proceed on the I-4 Ultimate project in Florida in early February. And while we expect to quickly ramp up activity later this spring on the Pennsylvania Rapid Bridge Replacement project, instead of our original fourth quarter expectation the project now is expected to enter backlog late in the first quarter or early in the second quarter when we get final financial close and the notice to proceed. The market for large projects remains robust. Over the past few years we have maintained a steady growing roughly two year roster of bidding opportunities, primarily transportation projects with partners tolling between $15 billion to 20 billion. Our portion typically has ranged from 35% to nearly half of the potential backlog in revenue. To that end we currently have Team A [ph] agreements to bid on more than $19 billion of large projects over the next couple of years with our percentage of participation in these projects in line with recent history. And we continue to track tens of billions of future projects over the next few years which will certainly add additional projects to our current list of bidding opportunities. We continue to build and prioritize our project pursuit efforts only on the work we feel we have a very strong chance of winning, always with an eye on balancing project risk with solid returns. While our construction business produced solid improvement from last year’s fourth quarter, this business, our largest, remains the one most impacted by the persistent lack of long term funding solutions. Significant incremental top line and bottom line growth in our construction businesses continues to hinge in large part on long term planning and long term funding solutions. Notably a number of unresolved disputes remain outstanding in this business and we expect to capture this top and bottom line benefit in 2015 as well. While improved levels of private market activity and end market diversification continue to drive opportunities but weaker than anticipated pace of public spending remains a headwind. The competitive bidding environment across much of the west remains stable but tight. We are focused on growing construction segment margins this year as a result of both improved execution and pricing. But make no mistake without decisive action last year’s project bidding delays in some western markets quickly could turn into another year of deferred state transportation bidding activity. As I noted last year current patchwork federal highway bill funding covers spending obligations only through this May. Unfortunately this funding serves only to stabilize current projects and select highway and public transportation programs in the procurement phase. Although we believe Congress and the administration will pass a long term highway bill in 2015, we expect numerous starts, stops and detours along the way. We absolutely expect to be a beneficiary of a new highway bill, as I believe we will see a quick infusion of projects that have been postponed due to persistent Congressional uncertainty. A long time highway bill with a modest increase in year one along with index growth will provide the confidence that individual states are looking for to unleash projects that have been waiting now for several years. I am confident that we will have a new bill by the end of this year. On balance and encouragingly we reproduced profit growth across the company in 2014. As we continue to develop, evolve and execute on our strategic plan we expect similar improvement in 2015. So with that I will turn the call over to Laurel to discuss results and share some additional details on our 2015 outlook. Laurel?
Laurel J. Krzeminski : Thank you, Jim, and good morning everyone. Fourth quarter 2014 revenues were $590 million, down 1.4% from last year. Full year revenues were flat for the year coming in again at about $2.3 billion. Fourth quarter 2014 earnings per share was $0.43 compared to $0.02 per share for the quarter in 2013 excluding last year’s restructuring charges. 2014 earnings for the year was $0.64 a share compared to a loss of $0.17 per share for 2013 again excluding the impact of charges. Total company 2014 gross profit margin was 13.5% and 11% respectively for the quarter and year. The 520 basis points margin improvement in the quarter is a result of contributions from all segments but particularly from a strong gross profit contribution from the construction segment. And for the year gross profit growth across all three segments drove 280 basis points of margin growth with the large projects segment responsible for the majority. SG&A expenses increased slightly year-over-year to 204 million driven primarily by increased selling expenses and investment in continuous improvement. Total contract backlog at the end of 2014 was $2.7 billion, up almost 8% from 2013, with large project construction backlog of just over $2 billion, up nearly 9% in 2014. And as Jim mentioned this total does not yet include our nearly $350 million portion of the Pennsylvania Rapid Bridge Replacement Project or net of $300 million of alternative procurement work that we’re in the final phases of negotiation. Looking at the segment detail, fourth quarter construction segment revenues increased more than 6% to $313 million and gross margins improved more than 500 basis points year-over-year to 11.5%. In 2014, construction revenues totaled about $1.2 billion, down about 5% from last year. However, construction gross profit grew 11% in 2014 driving gross margins back to double-digits at 10% reflecting a 150 basis points of margin improvement from last year. Large project segment revenues decreased about 10% in the quarter to $214 million with annual revenues increasing more than 6% to 825 million. Fourth quarter and full year 2014 segment margins of 18.9% and 13.6%, respectively reflect project progression, dispute resolution and improved execution. Revenues for Construction Material segment decreased slightly in the quarter to $63 million due to the previously discussed weather in the West. 2014 materials revenue increased 11% to $264 million in 2014. Quarterly segment gross profit margin was 5.4% more than double last year’s 2.6% and 2014 materials gross profit margin increased more than 400 basis points year-over-year to 7.2%. Typically, we do not provide guidance until our first quarter call but we’re confident that the investments and improved project execution and continuous improvement we’ve made are starting to pay off. These factors along with the cash flow improvement produced in 2014 provide us with a stronger foundation as we enter 2015. Importantly as we look ahead, our improved execution combined with solid backlog provides us with greater visibility. For context last year at this time top line growth was expected both from our vertically integrated business and from large projects. With the vertically integrated business federal funding uncertainty ultimately was an impediment to 2014 growth and it remains a roadblock to significant growth at this time. Last year, we also expected more than $300 million of additional alternative procurement awards would contribute to revenue growth and potentially contribute to bottom line results in 2014. But as it happens we remain in the final stages of negotiation on these projects today. Our expectations last year and every year also take into account a certain pace of project awards. So while we were notified of our I-4 Ultimate project award last April and booked it into backlog in the third quarter of last year the project officially broke ground just last week. And disappointingly after significant improvement in the materials business in California for the majority of the year some ill-timed wet weather was a proverbial wet blanket late in the fourth quarter that tripped up the accelerating momentum. Importantly with all of that in mind these are not lost opportunities. These 2014 headwinds and delays immediately became growth opportunity for 2015 and beyond. We are focused on capturing and executing on these opportunities, while emphasizing continued cost central and strategic investments as we build on last year’s improved operational and financial performance. With the existing political climate in mind we currently expect mid-single-digit consolidated revenue growth in 2015. More importantly, we expect overall 2015 profitability to grow in-line with last year’s improvement. We expect total company profit margin expansion to be driven again this year by improved performance in each of our business segments. As a result we currently expect EBITDA to increase to a range of 6% to 8% this year. We remain optimistic that substantive action to address federal infrastructure funding gap remains a catalyst for Granite and for the industry later in 2015 and beyond. Now before we take your questions, let me turn the call back to Jim.
James H. Roberts: Thank you, Laurel. In much of the West improved weather has allowed us an early start in regaining the momentum we built in our vertically integrated business last fall. And as we all look forward to an end of the current challenging winter conditions across the Midwest, Northeast and Southeast, we will immediately be ramping up our crews to accelerate activities on those projects affected by the cold winter weather. A new highway bill is a critical factor to allow our customers to make-up for the last several years of delayed infrastructure investment. This pent-up demand at the federal state and local levels all represents opportunities for growth beyond what we have talked about today. Despite funding challenges our backlog continuous to grow in our construction and large project segments and we also have a solid backlog in our construction materials business as well. We expect 2015 will be a year of growth in both revenue and profitability driven by strong backlog, improved operating capabilities and our unrelenting focus on continuous improvement. And with that, we will take your questions.
Operator: [Operator Instructions]. Our first question comes from Nick Coppola with Thompson Research.
Nicholas Coppola: On the slower large project progression, in your opening comments you referenced award delays and weather and was that largely about I-4 and broad-based winter weather? Is there any further color you can add on really the drivers of that, that four large project progressions?
James H. Roberts: Yes, thank you Nick and nice to hear from you. Yes, I think two things. First of all, the start on I-4 was later than we anticipated and I mentioned that a couple of times along with Laurel. And the progression on the Pennsylvania job, it looks like it will be put into backlog when the financial close occurs, hopefully in March. I said in late first quarter maybe even in the second quarter. And then on top of that we also have two large alternative procurement projects that we’re negotiating now that we had anticipated to put into backlog last year and they did not occur last year, but we are now strongly anticipate to occur in the first part of this year. So kind of that’s the combination of large project slowdowns that I talked about.
Nicholas Coppola: Okay. And we’re looking for I-4 to reach profit recognition in ’16 now?
James H. Roberts: No, I think that our anticipation is that it will progress as planned. We’ll move forward in 2015 what the expectation that will probably have some type of recognition on that job in 2015.
Nicholas Coppola: Okay, okay. And then last question for you just on weather in Q1 and so a lot country having some pretty severe winter weather, clearly last year was pretty bad as well. So just any kind commentary in Q1 in terms of project actually given the winter weather?
James H. Roberts: Well Nick it’s interesting, because when you cover the whole country, you get the good, the bad and the ugly every single day with weather. So certainly in the Northeast and the Southeast and the Midwest were slow, because of the weather. But then again on the West Coast for the last month, it’s been dry, unusually dry. So we got a good start on the West Coast. So that’s the advantage of having a diversified geographic businesses, you’re going to be slow in some areas and have the benefit in another area. So probably pretty much as planned right now. I would say though one of the key factors we’re looking at in and the East is how quickly they come out of this winter weather. And we typically do not anticipate a great deal of work in the first quarter in the East or the Northwest due to the weather in the Midwest and hopefully by the end of March, Mother Nature cooperates and we’re able to get back on the ground on most of our projects at the end of March or early April.
Nicholas Coppola: Okay, that’s great. Thanks for taking my question.
James H. Roberts: Thanks Nick.
Operator: Our next question comes from Jerry Revich with Goldman Sachs.
Jerry Revich: Hi, good morning.
James H. Roberts: Good morning, Jerry.
Jerry Revich: I’m wondering Jim if you could just frame out the longer term outlook for PPP projects. I know you have some better visibility longer term on those and you probably did a couple of years ago. Can you just provide the outlook beyond ‘15 based on the pre-bid work that you’re doing, how does that look?
James H. Roberts: Yeah, that’s a good question Jerry. There is no doubt that PPPs probably got partnerships, so those of you that aren’t aware of the terminology, there is no doubt that it’s ramping up and it’s ramping up rapidly. One of the things that I will say is that, I see more and more and more of this occurring Jerry and I see more of the alternative financing mechanism coming into the play. Certainly TPI has a large play on that and certainly the next highway bill will have another large play on that. We are looking that trying to [indiscernible], we are looking at our state and our agencies are becoming more sophisticated and this is a big plus for PPPs because they are understanding that there are alternatives to having 100% funding upfront. And with that I would say some of the smaller states are now getting into the PPPs and that’s going to be real positive. So I see nothing but PPPs sector actually improving and increasing over the next 12 to 24 months.
Jerry Revich: And is it possible to get a sense for, I guess ultimate magnitude of work that you are looking at that could be awarded back half ‘15 or 2016 on those types of projects and just compare that to the bid activity we’ve see more recently, just to frame for us whether the opportunity is expanding?
James H. Roberts: I would say this, there is a host of them that are on the list to be bid in 2015 and certainly for us it depends on if we are successful on the projects and we’ve have been very successful on PPPs to-date certainly the latest being the PA 500. So I think the key ingredient here is going to be really just what jobs comes out to bid and when they get awarded. So I guess my point would be I don’t have a number, they are incorporated in that $15 billion to $20 billion number over the next two years. PPPs are part of those large projects.
Jerry Revich: Okay and in terms of just the timing of awards in 2015 on some of the larger projects can you talk about your expectations, is there anything coming up in the early part of the year or as you alluded to a moment ago is most of the activity back half weighted?
James H. Roberts: Well, no, the back half weighted, let me if I can pull up that little bit. There are several jobs that have bid and we are waiting for results on and there are jobs that we are in negotiation phase that we are waiting to actually have signed contracts on. So those contracts when we actually sign them will get booked at that point in time. So I think there is some real positive opportunities in the first half to actually get them booked and in the backlog. There is also a host of projects that we are bidding right now that depending on how quick they turnaround would most likely be put into backlog in the third or fourth quarter. Typically it takes three to six months to get the large projects in to backlog. So outside of the ones I mentioned, which is about $600 million of backlog, between the PA500 and the other alternative work, the remainder of the large projects would not be probably put into backlog until the second half of the year.
Jerry Revich: Thank you very much.
James H. Roberts: Thank you Jerry.
Operator: [Operator Instructions]. Our next question comes from Alex Rygiel with FBR Capital Markets.
Alexander J. Rygiel: Thank you. Good morning everyone.
James H. Roberts: Good morning Alex.
Alexander J. Rygiel: Jim, could you quantify what’s GVA’s portion of the $19 billion large project bid line is, in pipeline
James H. Roberts: I’m sorry, try it again, Alex.
Alexander J. Rygiel: The $19 billion that you mentioned sort of as your large project bid pipeline, what portion of that would be GVA’s sort of own teaming kind of portion?
James H. Roberts: Yes, typically what I mentioned it was somewhere between 35% to 50%. So you could say little less than half.
Alexander J. Rygiel: Okay and what is GVA’s traditional win rate in T&D.
James H. Roberts: Actually pretty darn good in T&D and again those are all done with mostly private customers. So it doesn’t have the open results that you might kind of know in a typical bidding environment. So sometimes they even shelve projects, sometimes they delay them, sometimes they add on to your projects. But I would say we are one of only maybe a couple, two or three bidders and we certainly get our share.
Alexander J. Rygiel: And lastly, are you seeing any irrational bidding on the large projects, either from domestic or international participants?
James H. Roberts: Well, Alex absolutely, I see it all the time. I see every once while a project will get some numbers that we just can’t comprehend. And I don’t think it’s just from one sector international or not, but I do see the trend across the board of prices increasing in the large projects business because I think there are several reasons for it, first of all it’s been a robust market and people have got nice backlog. Most of our competitors have nice backlog just like we do. And also these jobs are getting larger and with the large size of these projects, the risk goes up and therefore as I mentioned in the script as well that the expectation of a return comes back to be -- has to higher as well. And the complexities of these jobs are certainly very complex compared to the -- what they used to be five years ago. So yes, I see the market stabilizing actually and I see really our competitors bringing up their expectations to meet what we've been saying are our expectations which are mid-teen margins in this part of the business. And I think that you're going to see the whole market rise with the tide.
Alexander J. Rygiel: That's great to hear, good luck next year.
James H. Roberts: Thank you.
Operator: Our next question comes from Michael Dudas with Sterne Agee.
Michael Dudas: Good morning, Jim and Laurel.
Laurel J. Krzeminski : Good morning.
James H. Roberts: Good morning Mike.
Michael Dudas: First question on the unresolved issues of one out of five were resolved. Did that one meet your expectations and the kind a preliminary guidance in numbers you put forth is that assume -- what's that assume relative to those, the timing and the proceeds of those types of awards?
James H. Roberts: Okay, so first of all Mike, yes the resolution that we were able to capture in the fourth quarter didn't meet our expectations. And typically as a note relative to that kind of a thought, we typically don't resolve them unless they meet our expectations. And that's one of the reasons why it tends to take so long, is that we feel very strongly that we want to be fair and open from the beginning and if we resolve the dispute at something less than we feel is due to us, we typically take it all the way through the judicial system because of the way we approach it from the very beginning. Now as far as the other four unresolved and actually a longer list than that, we do probability weigh them and look at them when we look at guidance, certainly not at the high end, certainly not at the low end, but we probability weigh them when we look down the road.
Michael Dudas: Fair enough and my follow-up Jim is just to clarify you said in your remarks about potential highway bill. You said end of year you are talking calendar year, or government fiscal year and on top of that, what's your observations or what's happened since November elections where we are today and what your contacts or lobbyists are imparting to as how we get there relative to agreement -- on a funding side.
James H. Roberts: Okay first of all I am going to give myself some wiggle room that's why I said the end of the year. And for those people that aren't really insiders on what's goes on, on the Hill there, there fiscal year would be September 30th. So certainly there is a three month gap in the fiscal year versus the Federal fiscal year versus the calendar year. So I gave my little room to maneuver there I said 2015. I do think that what I hear is this Mike that chances are that we're not going to get something between now and the end of May. There is a across the hall, there is the Senate and the House, the T&I committee and the EPW committee is the lead or the lead committees relative to a federal highway bill. They are basically in agreement that it needs to be a long-term highway bill, it needs to be Index of some nature and it needs to be -- it needs to have growth attached to it from where we are today at the $40 billion level. So that's all good. And that long-term visibility is a huge play for the states. That's what they need to get themselves the confidence to put work on the street. So I'm glad to hear that that everybody is focusing on a long-term build, not a patchwork one or two year build. Now obviously the one thing that has been kind of struggling for everybody is how do you fund it. And we're finding ways now, we're hearing that the repatriation, the gas tax, everything is back on the table. And that's good news but what we are also hearing is that the Highway Trust Fund will need an infusion before September 30th. It will be able to support itself through May. It will likely get into a significant issue on its balance sometime in Late August and maybe even in July. So the Congress is going to have to make some movement relative to keeping that Highway Trust Fund fall in the summer. That will help be another catalyst for creating a longer term resolution and certainly one of those resolutions could also be an attachment to the general fund, which I mentioned in the last quarter is how most countries actually focused on infrastructures they consider to be a priority. So it is actually part of the general fund rather than an independent funding stream. So realistically everybody is kind of getting to an agreement today on long term indexed increases, everybody is in agreement that it need to get done in 2015. My concern is I don’t think the funding issue is going to get resolved in May, it could get resolved by September but what I said was the end of year.
Michael Dudas: Jim, I appreciate that. Thank you very much.
James H. Roberts: Thanks Mike.
Operator: [Operator Instructions]. Our next question comes from Brian Rafn with Morgan Dempsey Capital Management.
Brian Rafn: Good morning everybody.
James H. Roberts: Good morning Brian.
Brian Rafn: Jim, could you just give us a little bit of visibility or sense going into 2015 versus maybe going in to 2014, what the smaller construction, the branch, the old branch turn business looks like, whether that be state highways, county highways, industrial sub divisions, what does that business look like, your backlog is up about 4.63% net, give us a tone as you go into ‘15?
James H. Roberts: Yeah, that’s really a good question relative to what we consider obviously the largest portion of our company, Brian. So couple of things you mentioned backlog’s up which is a good thing. I would say that as you noticed in our results, margins are up and that’s really important in this business, to see margins creeping up annually really sets the tone for a better business then what we’ve seen many years. So the construction part’s up and I think the other part that we ought to really pay close attention to is the materials business. Those margins are up significantly from where we were last year and we expect that business to get better and better and better as 2015 progresses. We got a really nice backlog in our materials business which we don’t really capture in any kind of information and we consider to be backlog relative to tonnages and things of that nature, for [indiscernible] aggregates. I think it’s a healthier market then it was 12 months ago and I also think we’ve done a couple of things, to position ourselves substantially better brand. First of all we’ve diversify our overall portfolio in the construction area, by doing some mining work. Now we are doing oil and gas. When I say oil and gas, somebody might say well that’s not a very great market today, well the kind of work that we are doing is maintenance in a lot of the refinery facilities and things that have to be done and that is actually a very strong business. And the mining business even with some of the pricing structure changing over the last 12 months we are starting to see some work that is right in line with our heavy silver business that’s growing as well. And then the other thing that really focuses on the construction business is our T&D business. Most of our T&D work is located in that construction segment and we are hoping we will get some of the bigger work that will move it into large projects as well. But that business is actually quite strong. So I actually think the construction business is in a better, substantially better position than it was 12 months ago.
Brian Rafn: Okay, good answer. Can you just run through some of the projects. I didn’t maybe catch your opening remarks, some of the specific projects on heavy silver side?
James H. Roberts: Well, I can. Typically I’ll give you just a small list of some that we’ve got going on. Let’s see here, we’ve got $1 billion job in corporate bidding with Harbor Bridge, we’re just still online for the Purple line which is several billion in Maryland, we’ve got work in New York City, the Grand Central Terminal station is coming out to bid, that’s $0.5 billion. There is another large project going on in Houston with the Grand Parkway this year, that’s closing in on $1 billion. We’ve got some nice tunnel work that we are bidding across the country as well. Those jobs are little smaller somewhere in the $200 million to $500 million range. We are seeing work out in the west. We are seeing some work in the Las Vegas area which is really nice to see, that market come back after it was hit very, very hard during the recession. There is actually $500 million to $600 million project we are bidding there. We are actually bidding another $1 billion job in the Phoenix market on the 202 Loop. So that’s another nice sizable job. We are seeing work in -- let’s see here in Colorado, we are bidding more work there, we are actually bidding a $1 billion job out in Los Angeles too. So as you can tell we are bidding all over the country.
Brian Rafn: Okay, you guys have been very, very measured, a lot of discipline in what you guys used to say getting bids right on bid day, even going back to Bill Dorey’s day, when you talk about changed orders and unresolved claims as you guys get into a lot of big design build. Are you seeing any higher frequency of change orders or unresolved claims versus where you might have been four, five years ago, because as your business becomes more complex, as the progress are more complex are these unresolved issues more complex?
James H. Roberts: Okay. Well there are two questions Brian and I think it’s a good observation on I’ll call them the mega jobs, because they’re certainly more complex and they certainly, as we get into design build finance and all the different areas that bring complexity to this work, there are more issues. I will say this though that in the majority of our work we do not have big claims. We work very hard with the owners to resolve them as the disputes arise and with the hundreds of jobs that we have across the country, having five large claims outstanding at the end of last year really suggests that almost all the time we’ll resolve them as they’re going on. Now the problem is that as they get significant size than, if they aren’t resolve quarter-to-quarter than sometimes you see some financial ups and downs. And I think that’s part of what we try to disclose to our shareholders every time is that you have to expect that. It’s going to go up and down by the quarter. But no, I don’t think that the claims are necessarily getting more numerous, but I do think there are larger because of the size of the jobs.
Brian Rafn: Okay, thanks guys. I’ll get back inline. Thanks.
James H. Roberts: Okay, Brian. Thank you.
Operator: This is end of our question-and-answer session. And now I would like to turn the call back over to our host.
James H. Roberts: Okay, everybody. Well, thank you for questions and again I want to congratulate the Granite team across the country on the record 2014 safety performance and our continued focus to ensure that all of our employees go home safely each and every day. I look forward to working with all of you in 2015. To all of our investors please do not hesitate to reach out to see if we will be able to make it your way soon. We’ll be in L.A., we’ll be in San Francisco over the next week. And finally, Laurel, Ron and I are available for follow-up questions today if you have any further questions. So thank you everybody.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.